Operator: Good afternoon, and welcome to Sarepta's Fourth Quarter 2025 Earnings Results Call. As a reminder, today's program is being recorded. At this time, I'll turn the call over to Tam Thornton, Sarepta's Director of Investor Relations. Please go ahead.
Tamara Thornton: Thank you, operator, and thank you all for joining today's call. Earlier this afternoon, we released our financial results for the fourth quarter of 2025. The press release and slides are available on the Investors section of our website at sarepta.com, and our 10-K will be filed with the Securities and Exchange Commission next Monday. Joining us on the call today are Doug Ingram, Dr. Louise Rodino-Klapac, Patrick Moss and Ryan Wong. After our formal remarks, we'll open the call for Q&A. I'd like to note that during this call, we will be making a number of forward-looking statements. Please refer to Slide 2 on the webcast, which contains our forward-looking statements. These forward-looking statements involve risks and uncertainties, many of which are beyond Sarepta's control. Actual results could materially differ from these forward-looking statements, and any such risks can materially and adversely affect the business, the results of operations and trading prices for Sarepta's common stock. For a detailed description of applicable risks and uncertainties, we encourage you to review the company's most recent SEC filings. The company does not undertake any obligation to publicly update its forward-looking statements, including any financial projections provided today based on subsequent events or circumstances. As noted on Slide 3, we will discuss non-GAAP financial measures on this webcast. Descriptions of these non-GAAP financial measures and reconciliations of GAAP to non-GAAP financial measures are included in today's press release and the slide presentation available on the Investors section of our website. And I'll now turn the call over to our CEO, Doug Ingram, who will provide an overview of our recent progress. Doug?
Douglas Ingram: Thank you, Tam. Good afternoon, and thank you for joining Sarepta Therapeutics Fourth Quarter and Full Year 2025 Financial Results Conference Call. As you will hear today, we've entered 2026 on a strong footing. There are three pillars to our strength. Our first pillar is our financial position. As our CFO, Ryan Wong will discuss in more detail because of the actions we took in 2025, we entered 2026 in a solid financial position with a large and growing cash balance, significant revenue, positive operating cash flow and removal of any near-term debt overhang. We exited 2025 with $954 million in cash and investments, growing $89 million in the fourth quarter. We anticipate under all reasonable scenarios to be cash flow positive and profitable on a non-GAAP basis this year even as we fully invest in our pipeline and our marketed therapies. Our second pillar is our four durable life-improving therapies. As you will have seen, our three approved PMOs have remained stable even in the face of ELEVIDYS cannibalization. We read out the results of our AMONDYS and VYONDYS confirmatory study, ESSENCE late last year, and we have scheduled a meeting with the FDA for later this quarter to discuss the potential to transition those two therapies to a traditional approval. When one considers the PMOs, it is important to recall several things. The PMOs have been serving the Duchenne community well for many years now, in some cases, exceeding a decade. Over these many years, they have been on the market. There has accumulated an exceptional body of published real-world evidence consistently showing the significant disease moderating benefits of these therapies across measures and across organ groups, and ESSENCE is supportive of the risk benefit of these therapies. Patients and their physicians see significant value in the PMOs as represented by year-after-year compliance rates consistently over 90%. Indeed, families are fiercely supportive of these therapies. And importantly, the safety profile of the PMOs over the last decade is stellar. For these reasons, the evidence supports and we think the time has come to transition AMONDYS and VYONDYS to a traditional approval, although we do stand ready to provide additional reasonable prospective real-world evidence if ultimately required. Moving on to ELEVIDYS. The unanticipated in two instances, tragic events of 2025 created uncertainty around ELEVIDYS in the middle of last year, but much of that uncertainty has been cleared by now. While short-lived FDA actions caused questions about the future availability of ELEVIDYS, that is now resolved with an updated label, updated precautions and monitoring and a traditional approval for all ambulatory patients for and over. The FDA has approved our sirolimus pretreatment study for non-ambulatory patients, which is an important step on the potential pathway back to treating non-ambulatory patients, assuming a successful outcome. That trial is already enrolling patients, and we expect results by the end of this year. Once we have the data in hand and assuming its success, we will discuss with the FDA the fastest possible pathway forward to resume commercial dosing in the non-ambulatory populations. Those results will also be an important element of moving forward with our BLA for SRP-9003 to treat LGMD 2E. Over 1,200 patients have already been treated with ELEVIDYS and yet the majority of patients remain to be treated. That is an enormous opportunity. As we address the issues of 2025, we were left with little time to provide balanced information on the safety and efficacy of this simply remarkable therapy. And that information deficit has resulted in some patient and physician hesitation that must be addressed to ensure the greatest number of Duchenne patients benefit from ELEVIDYS. We have well-designed plans to address information deficits so that families and treating physicians are fully armed with accurate and balanced information to inform the decision to treat with ELEVIDYS. In a moment, Patrick Moss, our Chief Commercial Officer, will walk you through our plans. Equally important, the overwhelming evidence that ELEVIDYS significantly alters the course of this disease has only grown over the last year with updated three-year EMBARK data that was universally positive in showing that the gap between ELEVIDYS-treated Duchenne boys and those who unfortunately have not yet been treated grows greater and greater with every passing year. These plans will take some time to execute given both the timing of the plans and the long-cycle nature of START Form 2 infusion. But based on the market research and advisory boards we have conducted, we are confident about our plans. We previously chose not to provide guidance on total net product revenue for 2026, due primarily to the uncertainty on the timing of our ELEVIDYS initiatives. However, we will provide broad guidance today to help investors model the year. Now while it is challenging to perfectly model the exact shape of the revenue curve of a onetime therapy like ELEVIDYS, we believe there is a significant opportunity among the prevalent and incident population over the next three-year horizon. The delay and impact of our initiatives may affect near-term sales, but they should not impact the ultimate opportunity as we expect to pick up those sales as our initiatives result in better understanding of the disease-modifying benefits of this therapy and the compelling need to treat as soon as possible. But that is not to suggest that we will be satisfied before all patients and physicians have the information they need to make informed decisions about this therapy. Regardless of our long-term sales, every day that goes by without treatment, a boy or young man loses muscle that he can never get back. Patrick will discuss this in more detail, but given the timing of the initiatives and the long cycle time for ELEVIDYS, we do not expect that we will begin to see the impact of our educational efforts until at least well into the second half of this year. Looking at the first quarter itself, we should achieve revenue that's about flat to perhaps down 15% from the prior quarter. For total net product revenue for the entire year, we are providing a guidance range of $1.2 billion to $1.4 billion for our approved therapies. To be clear on our expectations, without our educational efforts, we would expect to track to $1.2 billion in net product revenue for the year. Depending on the timing of the initiatives, that could be as high as $1.4 billion if the initiatives more immediately showed impact. But given the long cycle times I just outlined and the resulting quarter-to-quarter variability, we believe that it is prudent to model toward the low end of the range at least for the time being. While we are being disciplined in our near-term projections, our confidence in the ultimate demand for ELEVIDYS and the transformational nature of this therapy remains exceptionally strong, and we believe our initiatives will support this opportunity. Now the third pillar of our company is the strength of our pipeline. We have an exciting siRNA pipeline that is advancing. We have now five clinical stage programs, including our neuromuscular programs for DM1 and FSHD, our pulmonary program for IPF and our CNS programs for SCA2 and now for Huntington's disease. Given the unique approach we are taking with the Arrowhead TRiM platform, these programs hold the potential to be best-in-class. They also hold the potential to bring a better life to more than 160,000 patients in the United States and multiples of that number internationally. We have two additional programs completing preclinical work for deadly CNS diseases, that's SCA1 and SCA3, and we have additional discovery programs with Arrowhead for high-value targets across neuromuscular and cardiac and CNS diseases. We are making good progress with our siRNA programs, and we will have some important updates this year, as Dr. Rodino-Klapac will discuss later in this call. And with that, let me turn the call to our Chief Commercial Officer, Patrick Moss. Patrick?
Patrick Moss: Thank you, Doug, and good afternoon, everyone. As preannounced in January, net product revenue for 2025 totaled $1.86 billion, consisting of $966 million from our PMO franchise and $899 million for ELEVIDYS. For the fourth quarter, net product revenues for the PMOs totaled $259 million, which is relatively stable compared to the fourth quarter of 2024. Individual PMO net product revenues were $148 million for EXONDYS 51, $34 million for VYONDYS 53 and $77 million for AMONDYS 45. Turning to the ELEVIDYS performance. Fourth quarter revenues totaled $110 million, impacted by the severe flu season and 6 planned infusions that had to be rescheduled in 2026. Now looking forward, it's important to recognize that the $500 million revenue floor for ELEVIDYS reflected a steady-state mix of incident patients along with a meaningful contribution from the prevalent ambulatory population. The safety events of 2025 reshaped the perceptions of gene therapy and of ELEVIDYS specifically. As a result, it has become more clear to us that 2026 serves as a critical reset year for the ambulatory patient population, where there's an information imbalance and the disease-modifying benefits of ELEVIDYS is less understood. Patients need and deserve a clear and comprehensive understanding of ELEVIDYS' risk-benefit profile to have informed and thoughtful conversations with their physicians. Physicians also deserve to be armed with a full understanding of the data and the totality of the evidence to help patients make the best treatment decisions. Thankfully, we have a robust and growing body of data for ELEVIDYS. Two-year data from EMBARK Part 2 has recently been included in our promotional efforts and a three-year EMBARK top line data was shared last month and will be presented at the upcoming MDA conference. Both the 2- and 3-year data show sustained ELEVIDYS benefits over time with evidence of slow disease progression versus natural history. I do need to emphasize something that matters, something that truly matters to patients, and that's the significance of the muscle MRI data. Our muscle MRI data is powerful in that it provides unbiased evidence showing the difference between those treated with ELEVIDYS versus untreated Duchenne. The muscle MRI data shows that the muscle decline is evident well before functional decline is observed and delaying treatment results in irreversible muscle damage that cannot be restored. This is empirical evidence that reinforces the importance of preserving muscle by treating Duchenne as soon as possible. Clinicians have affirmed their belief in the data and the disease-modifying effects of ELEVIDYS through feedback at advisory boards and conference discussions. Their clinical experience is consistent with the data, yet they believe, as we do, there is still work to be done to ensure patients have a balanced view of the benefit risk profile of ELEVIDYS. Our new commercial initiatives are squarely focused on addressing the information deficit by reengaging with our customers with enhanced messaging and expanded footprint of our field teams. The traditional approval of ELEVIDYS creates a meaningful opportunity to strengthen our commercial messaging and engaging customers in new ways. We have updated our materials with substantial new data from the two-year EMBARK results to improve clarity and support a balanced understanding of ELEVIDYS benefit risk profile. And as a reminder, ELEVIDYS is the only FDA-approved gene therapy for Duchenne and has treated more than 1,200 patients across clinical trials and commercial settings with that number continuing to grow. In addition to updating our messaging, the expansion of our customer-facing teams enables us to go beyond treatment centers to educate referring physicians, patients and their caregivers. Our teams are addressing treatment hesitancy through accurate and clear information with a repetition that supports informed decision-making. The decision by a patient and their caregiver to pursue gene therapy is an important one. Our outreach to clinicians, caregivers and patients is designed to address what's on their minds of each of these stakeholders and support them with educational efforts and resources and data. We remain confident that our new 2026 initiatives will benefit patients while recognizing that it will take time for these efforts to translate into accelerated new patient demand. Unlike chronic therapies, which benefit from an installed base, ELEVIDYS is a onetime therapy and each treatment represents a new patient start. We continue to believe there is significant opportunity for ELEVIDYS and our confidence in capturing that opportunity is supported by emerging green shoots. A meaningful proportion of recent enrollment forms this year have come from sites that have not submitted since last summer and a growing percentage of enrollment forms have come from sites outside of our existing network. While this early traction from new sites is encouraging, we remain focused on executing our commercial initiatives to accelerate demand across the treatment network. The PMO franchise remained stable in 2026, with demand declining modestly year-over-year as patients choose ELEVIDYS. This durability continues to be a testament to the clinical value of protecting muscle to slow the decline of Duchenne through the use of exon skipping therapy and the relentless operational excellence of the team. We are comfortable with the current consensus estimates for our PMO portfolio in 2026. Now in closing, we are energized by the stability of our PMO business and the opportunity created by the traditional approval of ELEVIDYS. The robust long-term data included in our updated ELEVIDYS messaging, our expanded field force and demand from the Duchenne community support our efforts. Our confidence for 2026 is heightened by what we have witnessed, the ability to change the arc of the relentless decline of Duchenne. Our execution is driven by our commitment to serve patients, and we draw our inspirations from them, their families and the clinicians who continue to share their stories on how our treatments are changing what we know about Duchenne. I'll turn the call over to Louise. Louise?
Louise Rodino-Klapac: Thanks, Patrick. I'm happy to share with you our progress over the last several months, beginning with our positive top line three-year functional results from Part 1 treated in patients in EMBARK for study SRP-9001-301, our global randomized placebo-controlled Phase III study evaluating ELEVIDYS in ambulatory individuals with Duchenne. Sarepta has led what is the largest and longest running Phase III trial, making ELEVIDYS the most studied gene therapy in Duchenne. We were thrilled to share the results last month, which showed that three years after treatment, patients who received ELEVIDYS in Part 1 of EMBARK demonstrated statistically significant, clinically meaningful and durable efficacy across all key motor function measures, which include North Star Ambulatory Assessment, time to rise and 10-meter walk run when compared to a prespecified propensity weighted untreated external control group. The mean NSAA score remained above baseline at year three for the ELEVIDYS-treated group, while the external control group continued to show the expected age-related decline below their baseline score. Specifically, the ELEVIDYS group showed a 73% slowing of disease progression as measured by time to rise and a 70% slowing of disease progression as measured by the 10-meter walk run when compared to the external control group. The North Star Ambulatory Assessment showed a 4.39 point difference at year three between the treated and external control group with a highly significant p-value of 0.0002. To put into context the importance of these results, please note that functional outcomes like time to rise and 10-meter walk run are prognostic for delayed loss of ambulation. Slowing disease progression is expected to help preserve functional abilities for longer and delay more debilitating stages of disease. The EMBARK data showed that as ELEVIDYS continues to slow disease progression and the cumulative benefits increase over time, a greater divergence from natural history occurs as patients in the external control group progress into the declining phase of the disease. Further, as Dr. Crystal Proud, a pediatric neurologist, EMBARK investigator and someone who has treated many Duchenne patients stated, she has witnessed the transformative impact of ELEVIDYS for her Duchenne patients who can now do many daily activities in ways we would not expect. In children who have not received treatment with ELEVIDYS as they get older, these functions decrease exponentially as the disease progresses. Further, no new safety signals were observed in three years after treatment and no treatment-related serious adverse events were reported, which is consistent with our understanding of the safety profile of ELEVIDYS as evidenced by more than 1,200 patients treated clinically and commercially. These data support ELEVIDYS as a disease-modifying therapy, providing a clear and growing benefit over time in those treated versus those untreated. I'd also like to provide a brief update now on Cohort 8, which is part of our open-label study ENDEAVOR for study SRP-9001-103. As a reminder, as of July 2025, we've treated 155 non-ambulatory patients with ELEVIDYS before dosing was paused. This new cohort, Cohort 8, was designed to assess the impact of a sirolimus treatment regimen on reducing acute liver injury or ALI, and known side effect of all AAV gene therapies. Cohort 8 will enroll approximately 25 U.S. participants who are nonambulatory. Our primary endpoints are dystrophin expression at 12 weeks and the effectiveness of sirolimus on the incidence of ALI. We initiated this trial in late 2025 and are currently screening patients for enrollment. We expect to share findings by the end of 2026. Moving now to the 2026 MDA Clinical and Scientific Conference, which will take place in Orlando, Florida from March 8 through March 11. Sarepta's robust presence at this year's conference will include important highlights across our portfolio. Of note, the three-year EMBARK functional data, including cardiac safety data will be presented. We will also have several presentations from our PMOs demonstrating real-world evidence of long-term benefit along with our Phase III ESSENCE results. Turning now to our PMOs and an update on our exon skipping therapies, VYONDYS 53 and AMONDYS 45 to treat patients with Duchenne amenable to exon 53 or 45 skipping, respectively. We believe the totality of the data we've generated to date with real-world evidence is compelling. Our meeting has been scheduled with FDA, and it will take place towards the end of Q1. We've also submitted a briefing book. Moving now to siRNA. Our DM1 and FSHD programs continue to advance. As announced in November of last year, our Phase I/II single ascending dose and multiple ascending dose clinical study of SRP-1003 to treat DM1 is progressing well. Cohort 1 and Cohort 2 of the study are complete and Cohorts 3 and Cohorts 4 are fully enrolled and ongoing. Dosing in the final cohort, Cohort 5 at 12 mg per kg will be initiated by the end of the month. For FSHD, enrollment in our SAD study is complete and Cohorts 5 and 6 of our MAD study are fully enrolled. We are excited by the potential of these programs to offer differentiated profiles, including better safety and greater muscle concentration over other therapies currently in development. Specifically, we look forward to evaluating our early proof-of-concept data to establish the alpha v beta 6 targeting ligand as a potential best-in-class approach for muscle penetration and corresponding ability to dose at levels required for maximum knockdown. As previously communicated, we plan to announce our preliminary data available from our proof-of-concept studies for DM1 and FSHD programs at the end of this quarter. Of critical importance will be the safety and PK data. We expect to have serum and muscle PK to validate preclinical dose model prediction and evaluate dose response. Preliminary PD data will be valuable to further support our models to inform Phase III trial design. We look forward to sharing these early results with you. Moving now to our Huntington's program, SRP-1005. We've initiated our trial for Huntington's disease using SRP-1005. It's an investigational siRNA therapeutic for the treatment of Huntington's disease. This program utilizes a subcutaneous route of administration, allowing for target engagement in deep brain regions like the striatum, particularly affected in Huntington's. The Huntington's gene located on chromosome 4 produces the Huntington's protein, which is vital for neuronal development signaling and survival. Last month, we announced the submission of our clinical trial application for study SRP-1005-101, also known as INSIGHTT to Medsafe, the New Zealand Medicines and Medical Devices Safety Authority. They have accepted our application, and our next milestone is to commence dosing in the first half of this year. As you can see from this slide, we have numerous value-enhancing milestones coming up over the next 12 to 18 months. We are particularly excited about the promise of our advancing siRNA pipeline and continuing to add to the robust body of evidence for ELEVIDYS and our PMO exon skipping therapies. In closing, I'd like to take a moment to recognize Rare Disease Day, which takes place on Saturday, February 28. We are reminded that when it comes to rare disease, we must look for the unexpected and think beyond the common answer of diagnosis. The zebra has become a symbol for rare diseases, reminding us that like a zebra stripes, every rare disease patient's journey is unique. To those living with rare disease, we see you and we are with you. Thank you, and I'll turn the call over to Ryan Wong for an update on our financials. Ryan?
Ryan Wong: [Technical Difficulty] Provided details for the fourth quarter and full year on a GAAP basis as well as a non-GAAP basis. [Technical Difficulty] Available on Sarepta's website for a full financial results. My appreciation to the Sarepta team for their continued dedication and diligence in driving our goals forward. We took decisive actions to reduce our cost structure and proactively address our 2027 debt long-term financial resilience. Operating profit and [Technical Difficulty] 2026 with a solid foundation to execute against our goals of our 2025 performance and share some forward-looking perspective for 2026. For full year 2025, total revenues were $2.2 billion, an increase of 16% year-over-year. This included $1.86 billion in net product revenue and $334 million in collaboration, contract manufacturing and royalty revenue from our partnership with Roche. Looking ahead to 2026, in addition to our net product revenue guidance of $1.2 billion to $1.4 billion, I can share further detail on our expectations for other revenues. As noted in our press release yesterday, ELEVIDYS is now launched in Japan. In Q1 2026, we expect to record a $40 million milestone payment from Roche upon the first commercial sale. Additionally, we anticipate recognizing $325 million of noncash collaboration revenue tied to Roche declining an option for a specific program. Altogether, we expect total collaboration, contract manufacturing and royalty revenues in 2026 to be in the range of $450 million to $550 million. Moving on to gross margin. In the fourth quarter, total cost of sales were $399 million, a significant increase over the prior year. During Q4, we conducted a review of our raw material inventory and adjusted purchase commitments to avoid carrying materials that would expire before use. This review resulted in a $193 million charge consisting of $165 million in noncash reserves for excess inventory and $28 million in purchase commitment cancellation fees. For the full year, cost of sales totaled $840 million. Nearly half of this amount reflects failed production batches, inventory reserves and other period charges associated with recalibrating our go-forward manufacturing plans. Excluding these charges, our unit sales-driven margins were in the low 80% for the year. Despite the immediate impact to margins in 2025, we expect improved margins and fewer period charges in 2026 as production volumes will be significantly lower than in prior years as we were building ELEVIDYS inventory for a broad ambulatory and non-ambulatory population last year. On a unit volume basis, we expect 2026 margins in the high 70% range. Shifting to expenses. Combined non-GAAP R&D and SG&A expense in the fourth quarter were $413 million, driven in part by the $200 million second DM1 milestone under our collaboration with Arrowhead. For the full year, non-GAAP expenses totaled $1.85 billion with $884 million related to the same collaboration. Excluding Arrowhead, our core operating expenses were $965 million. And consistent with the cost reduction targets we announced last July, we are reaffirming our 2026 non-GAAP expense outlook of $800 million to $900 million. Rounding out the P&L for 2025, we reported a GAAP operating loss of $700 million and a non-GAAP operating loss of $492 million. Adjusting for restructuring and the Arrowhead transaction expenses, our underlying business would have delivered its second consecutive year of positive operating profit, $226 million on a GAAP basis and $391 million on a non-GAAP basis. Turning to the balance sheet and cash flow. In the fourth quarter, we completed a second debt exchange transaction, refinancing an additional $291 million of the 2027 notes into 2030. This leaves a remaining $159 million stub that we believe is very manageable given the cash generation profile of our business. We ended the year with $954 million of cash and investments. Ex Arrowhead payments, our base business generated more than $330 million of positive cash flow in 2025. In closing, as we move through 2026, we will continue to focus our resources on initiatives that drive demand for our on-market therapies and advance our pipeline towards key value inflection points. We remain committed to disciplined financial execution and to delivering sustained non-GAAP operating profit and positive cash flow. And now I'll turn the call back to Doug for closing remarks. Doug?
Douglas Ingram: Thank you, Ryan. All right. Before we open the call to questions, I want to share an update regarding my own plans. By this summer, I will have had the privilege of leading Sarepta for some nine years now. It has been, without a doubt, the single honor of my professional life to serve along this extraordinary team. Over those nine years, we set audacious goals for ourselves, Chief among them, the goal of lessening the burden and extending the lives of boys and young men with Duchenne muscular dystrophy. And along the way, as you all know, we solved many thorny and scientific and technical problems even as we faced and overcame many exogenous and extraordinary obstacles, challenges that would have undone a less committed, less creative, less resilient organization. And yet this team that works with me and for these families never wavered. They innovated, they executed. They often pulled off what others saw as improbable or even impossible. But because of that commitment, we now have four approved therapies and thousands of boys and young men with Duchenne are living more vibrant lives today than would have been imaginable a decade ago. And that impact now not only for those families, but for those yet to be treated and for a generation of future patients who will benefit from the foundation that we have built. Despite an unusual market dynamic that has not yet caught up, Sarepta is, in fact, stronger today than just about any other point in its history, right? We're on a strong financial footing with four approved therapies, bringing a better life to patients, an exciting pipeline of clinical stage siRNA programs and one of the strongest, most passionate and committed teams in our history. For that reason and after a lot of thoughtful consideration, I have informed the Board that I intend to retire as CEO, and I intend for that to occur by around the end of 2026. This decision was a deeply difficult one for me as this is the most meaningful and rewarding role that one could imagine, and we stand at one of the most exciting moments in our entire history. However, I have family commitments that require my attention, and I will explain them even though I normally a relatively private person, but I'll explain. When I joined Sarepta, I had no personal connection to muscular dystrophy. But through my work at Sarepta, I have developed a zealous passion for our quest to improve the lives of those living with muscular dystrophy. I doubt anyone who knows me would disagree with that. That commitment required nearly my exclusive time in Boston and Cambridge, while my family primarily resides in California. As you know, in late 2024, we entered into a partnership with Arrowhead, and we gained access to a number of very promising therapies, including SRP-1003 for a devastating disease, DM1. Well, subsequent to that partnership in a fairly shocking and certainly ironic twist of fate, my personal commitment to muscular dystrophy has deepened as two of my members of my immediate family have been diagnosed now with myotonic dystrophy DM1. By the end of 2026, the time will have come for me to spend more time in California, focusing on family commitments and addressing the realities of DM1. The Board and I have initiated a comprehensive search for my successor, both internally and externally. We will seek a visionary leader, someone capable of maximizing this team's potential, accelerating our opportunities and one who is unwaveringly committed to this extraordinarily important Sarepta mission that we have. When I eventually leave this role, it will be with complete confidence in this team and in Sarepta's trajectory, first and foremost, in fulfilling our mission to lessen the burden of devastating diseases and ultimately, in delivering the value that our science and execution warrant. Thank you for indulging me. And with that, let's turn the call to questions. Can we open the call for questions now?
Operator: [Operator Instructions] In the interest of time and as a courtesy to other analysts, we ask that you please keep your questions to one. [Operator Instructions] First question is from Anupam Rama with JPMorgan.
Anupam Rama: Doug, I was wondering if you could speak to how you think about and how the Board thinks about internal versus external candidates as you go into your retirement. The company is in a place where you're still coming out of a tough period for ELEVIDYS in 2025. You've got to defend your PMO franchise. You've got to deliver on the Arrowhead assets, right? And how do you think about continuity with somebody like Ian Estepan, for example, who's been forward-facing with the Street, forward-facing with the patient community, forward-facing with the KOL community, your partners know him versus bringing in someone externally who may break that continuity.
Douglas Ingram: Well, thank you for your question, Anupam. Look, I will just say in the broadest of strokes that the Board is looking for both internal candidates, taking that very seriously and looking at external candidates at the same time. Certainly, we're at a very important point in our history. We have a lot to do and a lot of execution to do. And I think we will have to be very mindful that whoever we choose, whether internal or external, understands what we're up against and understands how to execute and understands how to lead this team and shares our cultural values, which while that sounds very soft, is an exceptionally important and important part of this company. And I think the thing that fuels us and allows us to keep going even in the face of oftentimes very challenging obstacles that occur when you're the leader is this patient focus that we have. So I can at least commit to all of you that I and the Board understand where we are as an organization, and we're going to be very thoughtful that we choose a person that can continue to drive us forward and execute these plans and get the most out of this team. I mean I will just linger for a second. And hopefully, any Sarepta employees that are listening to this call will listen and hear me. This is the most exciting time we have as an organization. And this is one of the most impressive teams I've ever had the good fortune of working with, and I've had a lot of teams in my many years. I've been doing this now for three decades, and I've had a lot of really impressive teams that have worked for me. None are as impressive as this team. So we have a lot to execute and a great team and whoever we ultimately choose to be the successor CEO, I'm confident we'll be a person that can drive our plans, can speak as a leader to this great team and can get the most out of an exceptional team. Thank you.
Anupam Rama: And Doug, I'm so sorry to hear about your family as well. And so our thoughts are with you.
Operator: Our next question comes from the line of Brian Abrahams with RBC Capital Markets.
Brian Abrahams: Doug, thanks for the heartfelt message and my best wishes to your family as well. With regards to the kind of renewed efforts around messaging for ELEVIDYS, I guess what are some of the key metrics that you're going to be looking for over maybe the first half of this year that might suggest initial receptivity? And what are some of the takeaways we should think about from some of these signals you discussed with new sites initiating start forms and the return of some sites that hadn't prescribed since the summer?
Douglas Ingram: Yes. Both are very good questions. I'm going to turn this over to Patrick for a more detailed answer. In the broadest of strokes, the ultimate signal is going to be embedded in the first and foremost, enrollment forms and then ultimately in infusions, but there are probably many signals we can get long in advance of that through the use of things like regional advisory boards and market research and the like to really see that people are beginning to fully embrace and understand the data on this therapy. I mean it is remarkable how much data we have on the completely trajectory changing benefits that come from this therapy and really be able to contextualize that and for having people fully understand that is an exceptionally important issue. But with that, Patrick, you can provide certainly more detail than I can on this topic.
Patrick Moss: Great. And really, what we do is we consider there's value in promotion, right? And so our team is just beginning to get out there and promote the value of ELEVIDYS with our updated traditional label. And so our promotional efforts, they're rooted in the strong data, and that data continues to show the value of restoring dystrophin using ELEVIDYS. But one thing I'd also point out is that this is rare disease and more specifically a onetime therapy in rare disease. So each patient is a new patient. It's not a refill or a script renewal. So efforts do take time. And so a small number of patients can impact performance. And so all those various metrics we do evaluate as we're looking at our performance.
Operator: Our next question comes from the line of Ellie Merle with Barclays.
Tejas Wein: This is Tejas on for Ellie. For the siRNA readouts in 1Q, are there any particular benchmarks we should keep in mind when we think about target engagement? Should we think of these doses as getting to a therapeutic level? Or if not, what levels could we see that read well to higher doses?
Douglas Ingram: I'm going to turn this call over to Dr. Rodino-Klapac. I mean I will say in the broadest of strokes, and again, I'm going to preview this and then Dr. Rodino-Klapac is both going to correct anything I say that is incorrect and also provide far more informed views. But if you think about the main conceive of these therapies, particularly our muscle-directed therapies, DM1 and FSHD, the unique thing about these therapies is that they employ the integrin receptor in a very specific way, which at least preclinically would suggest a number of things that you can do this very safely and that at equivalent doses, you can get much greater muscle concentration, which means that ultimately, you should be able to dose escalate even more significantly with more headroom and you should get much greater and at the same time, safe knockdown and then downstream splicing, which means that in these early days of the readout, the two things we should be looking at most significantly is safety and is muscle concentration because if you have a very safe therapy or a relatively safe therapy and you have great muscle concentration at low doses, then outcomes razor. The rest will come, including the knockdown, the downstream splicing and the functional benefits in the life. So those are the big things to look at, and we'll have more than just that, but those are the big things to look at. But I turn it over to Dr. Rodino-Klapac to provide her views.
Louise Rodino-Klapac: Thank you. And I don't need to correct anything. I'll just add a few things and the fact that certainly, we are looking for muscle concentration. And based on our preclinical data, we feel and the data from the SAD data so far that we can continue to dose escalate. The important thing is also getting muscle concentration and also because we're using siRNA and we know how potent they are, we are not limited by the cellular machinery like an ASO where they're reliant on the RNase H in order to create knockdown. And so we -- using siRNA, we are not limited by that. So, taken together, those two things, so both muscle concentration and the ability of siRNA to produce efficient knockdown we feel optimistic based on our preclinical data, we'll be able to continue to dose escalate and potentially provide best-in-class knockdown. So that's what we'll be looking for is consistency with the preclinical data. Most of the data will be the SAD data. Obviously, that's one dose, and we'll continue to get data throughout the year on the MAD as well, which we will further evaluate.
Operator: One moment for our next question, that comes from the line of Andrew Tsai with Jefferies.
Lin Tsai: I appreciate the updates, Doug, wishing you and your family all the best. So I also wanted to ask on the siRNA readout strategy in general. When would you guys be prepared to start pivotal studies? I think I heard you mention the word pivotal for DM1 and FSHD, would it be right after the full MAD data set in the second half? Or do you need to do more dose expansion work? And then I'm also curious your guys' latest thinking on the accelerated approval pathway for these indications. In DM1, I think one company is going after accelerated and the other full approval. So I would love to know what your guys' stance are.
Douglas Ingram: I'll turn this over to Louise.
Louise Rodino-Klapac: Yes. So, first on the Phase III. So, in my script, I indicated, yes, we're working towards the Phase III. We'll be doing the -- continuing the MAD study, which will inform that. And at the same time, we are getting ready on the manufacturing side for Phase III, again, so that we can make sure that we are ready to go with commercial-ready material for that Phase III and can move as fast as possible. So we are, as you would predict, moving as fast as possible in terms of the potential for an accelerated approval. It will be facts and circumstances depending on where we're at with the state of the environment with other companies and where they are with approvals. I think with FSHD, for example, there's early potential readouts that would not have a long delay between accelerated and traditional approval. So we are taking our fastest approach regardless of whether we ultimately end up getting an accelerated versus a traditional approval, and we'll do so and make sure that we are collecting the appropriate data, functional data to support both.
Operator: Our next question comes from the line of Joe Schwartz with Leerink Partners.
Joseph Schwartz: Please accept our condolences and best wishes, Doug, for you and your family. I was wondering if you could talk a little bit about how clinicians are currently risk stratifying patients for ELEVIDYS using things such as liver enzymes, age, weight, steroid exposure, concomitant meds, et cetera. How has your view of ideal candidates changed based on the experience that's building currently?
Douglas Ingram: Yes. Let me say one thing, and I'll turn it over to Patrick to answer the detail. I don't think that our view has changed, whether -- what the current state in the market may be before more education occurs, it may be different than that. But just to be clear, we think there's this enormous opportunity. As we said, the vast majority of the addressable ambulatory patient population remains to be dosed, and we're confident that all those patients would benefit. We won't get all of those patients. I'm not unrealistic, but we will -- we can get a lot of those patients when everybody understands the context and understands the benefits of this therapy and understands the compelling need to dose as soon as possible. And I think the muscle MRI data maybe more than any other single piece of objective empirical evidence tells us that you need to dose as soon as possible to save muscle before it's lost. But we have work to do there. And in the interim period, I think, Patrick, maybe you can talk to how you see physicians stratifying patients and excluding and including patients and the like.
Patrick Moss: Yes. In addition to that, Doug, what we see is with Duchenne, it's obviously a rare disease that impacts the entirety of the family. And so it's really each patient, they have a unique situation. So there's travel, schedule, siblings. And so all of that is contemplated as the physician and the patient and the family decide whether they're going to move forward and at what rate.
Douglas Ingram: We do see, I think, some physicians without more information leaning younger. And so we've got to think about that and work with physicians, show them the data, understand the risk benefit of this therapy so that they and their patients can make better informed decisions across the entire ambulatory spectrum. One additional thing that we cannot and will not promote because it is currently not in our label, but it is occurring exogenous to us is that about 25% of sites today, and I suspect that is growing, are proactively using sirolimus, either prophylactically before dosing or reactively if they see, for instance, an increase in liver enzymes. And that practice may also, over time, impact the patients that physicians see as amenable for this therapy.
Operator: Our next question comes from the line of Yigal Nochomovitz with Citigroup.
Unknown Analyst: This is [ John Kim ] on for Yigal. Wishing you and your family the very best, Doug. One quick one from us. We're just wondering if you could provide some context on the size of the Japanese market, whether there's any important ordering dynamics to note? And then broadly speaking, any color on the potential for non-ambulatory patient treatment in Japan and what activities -- additional activities you would need to do -- would need to be done to be able to enable that?
Douglas Ingram: Yes. Patrick, do you have any perspective on the size of the Japanese market other than the broad perspective that Japan is obviously one of the highest value countries from a pharmaceutical perspective that exists across therapies. But do you have any more information than that? Or should we turn folks to Roche for a better understanding of that?
Patrick Moss: I would turn them over to Roche.
Douglas Ingram: We're excited, as you all know. Our partner is launching that therapy in Japan. Japan is an extraordinary opportunity, a very large population, very advanced health care system understands the value of therapies and how to price therapies as a culture. And of course, there are a lot of boys and young men in Japan who are living with Duchenne muscular dystrophy who will benefit from this therapy. So we're very excited about not really the opportunity, but the ability to do some good in Japan.
Operator: Our next question comes from the line of Salveen Richter with Goldman Sachs.
Tommie Reerink: This is Tommie on for Salveen. We were just hoping for some more details on ELEVIDYS quarterly dynamics. So your guidance of the 1Q being flat to 15% down, how do the rescheduled infusions play into that? And just checking on some of the math, assuming $900 million in PMO revenue, giving you an ELEVIDYS range of around $300 million to $500 million. Maybe you can give some more detail on how the timing of that acceleration and kind of magnitude in the second half, as you said.
Douglas Ingram: Yes, I'll give the broad strokes and then again, Patrick may have more color for you. As we look across the year, the thing to consider -- first thing to consider on a quarterly basis, if we say we're going to be flat to slightly down is that given this is a rare disease and given the cost per patient, a few patients move one way or the other on the therapy. Also, you'll know that six patients were delayed into 2026 from 2025, but also understand there's always this knock-on effect so that to the extent you're able to dose a patient in the first quarter that was delayed, that will almost inevitably delay another patient. So it doesn't just become additive. But ultimately, there'll be -- the patients will be there. I think we've already -- and Patrick, you'll correct me if I have this number wrong, but we've already dosed three of those patients who were delayed into 2026. And then there's two things to know on those ranges, the sort of $1.2 billion to $1.4 billion, it does relate to the ELEVIDYS far more than the PMOs. The PMOs are very stable. And they're very easy -- they're not they're easier, I should say, to forecast because they are chronic therapy. So you tend to be forecasting on the margins of a therapy as opposed to what you have to do with a onetime therapy like ELEVIDYS, which is basically you start new every quarter, and then you have to forecast that way. So $1.2 billion implies that we're at steady state with no new educational efforts of any benefit. And our educational efforts should drive awareness and understanding of the risk benefits and should drive patients to get in front of the doctors and doctors to be starting in more enrollment forms, and that gets you up to the $1.4 billion. But as we've said, you have to be thoughtful about the lead time on these. The initiatives themselves take lead time. We have already hired up our sales force. We have a contract sales force. We have educational -- these patient educational liaisons that we're going to be hiring. We have promotional material, but all of that requires training and getting out there and getting it through the process, and that takes its own time to be meaningful and impactful. But then the enrollment to infusion time is itself something in the four to the very lowest four months to even six months. So all of that suggests that for planning purposes, you should assume that while we'll get signals that this is really working in the next quarter or two to really see that turn into revenue is going to be something that's going to occur significantly into the second half of this year and then very significantly really in 2027. So that's kind of the delta between the $1.2 billion to the $1.4 billion. Now Patrick, you may have other metrics that you think I've missed.
Patrick Moss: Well, yes, I mean, you hit most of them, and I'd really start out to say that with ELEVIDYS, the quarter-to-quarter dynamics, as you mentioned, they can be noisy, right? And so we have to consistently look at performance over the longer arc rather than each quarter. With the identification and screening of the patients and ultimately dosing, that can lead to that variability. But what we're focused on is to ensure that our team is out there executing on our plan. We're out there engaging with physicians, with payers. We're coordinating with the sites, supporting the patients. And all of that remains solid.
Douglas Ingram: One other thing to know, we talk a lot about sort of getting the information out there and really educating people, getting to understand the risk benefit of this therapy and understand all of the efficacy data that we really had little time to do in 2025 for all of the reasons you know about. We were dealing with a lot of issues. We were working with the agency. We were getting the label updated and the like. And of course, it didn't allow us the time to really do this. Plus we have more data today than we ever did before. The one-year data look brilliant. The two-year data look exceptional. We just got the three-year data, and it's just the gap is growing and growing and becoming obvious that these patients really, if they understood this data, need to understand that they need to get in there and get infused. But there's another big issue as well on this issue of sort of educating and information. And that is that -- and this -- I find this really troubling. And that is that you have a much better chance of getting infused with ELEVIDYS, if you're a middle class, English-speaking, well educated, there is a real delta that exists where people that are not in the middle class, Spanish speakers, other people in a different socioeconomic environment just may not even have access to any information to be able to make thoughtful decisions about this therapy. We are going to address that this year. We have some very good plans to address that and to really serve the full community, not pieces of the community. One thing on the Spanish-speaking side, we're really focusing in on ensuring that we have a lot of field sales force that speaks Spanish, they can talk to people where they are. We have other thoughts about how we can support people that are struggling, but have children with Duchenne, which is very, very common, frankly. And so that is a sort of a big part of the efforts. It's not merely just more and more information, but really getting information to everybody whose lives will benefit if they understand what this therapy can do for them when they restore shock-absorbing dystrophin into muscles that desperately need it.
Operator: One moment for our next question, that comes from the line of Tazeen Ahmad with Bank of America.
Tazeen Ahmad: I just wanted to clarify with regards to what you're seeing with PMO use, initially, doctors were saying that they wanted to keep the PMOs on board with patients even after the patients receive ELEVIDYS. Is that still what you're seeing? And is that assumption also embedded in the $1.2 billion to $1.4 billion guidance that you've provided?
Douglas Ingram: Probably that thesis is probably not fully embedded in the $1.2 billion to $1.4 billion. But the interesting -- to your interesting point, physicians definitely on hold definitely want their patients to have the full armamentarium of gene therapy and a PMO. We have always taken the view, as you know, because we talked to investors about it over and over again over the long years even before we got launched is that, that may not happen a significant amount of time and the patients may be washed out of the PMOs, predicate to getting the gene therapy, and there will be a significant amount of cannibalization. I would say at this point, there is more dual use of PMOs than gene therapy than I at least would have envisioned. And I think there's a real opportunity here for patients to fully benefit. This's very complicated disease, as we all know. And I think having adjunctive therapies with a gene therapy like a PMO makes a ton of sense, and I think that we might be seeing more, not less of that over time. Patrick, you might provide more detail on that.
Patrick Moss: Right. Right now, we're seeing a handful of patients that have been treated with ELEVIDYS go back on PMO. It's not materially embedded in our forecast, but it is something, as Doug mentioned, that is an interesting proposition and something that the physicians are contemplating as they think beyond ELEVIDYS.
Tazeen Ahmad: Okay. Thank you. And best wishes to you and your family.
Operator: Our next question comes from the line of Mitchell Kapoor with H.C. Wainwright.
Mitchell Kapoor: And sorry to hear about your family, Doug, and wishing you and your family the best as you navigate this new journey and also your retirement. I wanted to ask on the early trends you're seeing in 2026 for ELEVIDYS so far, obviously, guiding to flat to down 15% for the quarter. But I want to know what you're seeing on new patient starts, time to infusion, payer behavior, infusion center capacity. And if any of these factors or other factors are measurable performance signals that you're tracking in the next quarter or two to hit that $1.4 billion versus the $1.2 billion guidance.
Douglas Ingram: Patrick, I'll turn this to you.
Patrick Moss: Yes. And I caution reading too much into really any single quarter. And I mentioned before, ELEVIDYS is not a product that performance unfolds in this like smooth linear quarter-to-quarter way. We are seeing consistent enrollment forms come in. However, it's early. And we're -- with our efforts and our messaging around the new data, expanding the field sales force and really expanding our footprint, we are expecting those efforts to materialize later in 2026. We do have early green shoots, as I mentioned, from prescribers that have paused in the past. But again, that time from enrollment form to infusion is still around 6 months.
Operator: One moment for our next question, it comes from the line of Mike Ulz with Morgan Stanley.
Michael Ulz: Doug, let me add my best to you and your family as well. Maybe just a follow-up on DM1 and FSHD data you're expecting to share later this quarter. Could you please clarify what PD data we should be anticipating from the slides, it looks like maybe splice correction, we shouldn't expect that, but maybe you can clarify what we might get? And then should we anticipate V-Ht as well?
Douglas Ingram: I'll turn this to Louise.
Louise Rodino-Klapac: Yes. So in terms of PD for DM1, we will have early DMPK knockdown data. And for FSHD, it will be DUX4 target gene correction in terms of the early data for that.
Operator: Our next question comes from the line of Biren Amin with Piper Sandler.
Biren Amin: I also wanted to convey my well wishes to you, Doug, and your family. Maybe on the Cohort 8 data, what do you need for FDA to demonstrate safety? I expect it would be clear for acute liver injury, but would FDA also want to see ALT/AST elevations in the trial? And what bar would be acceptable on ALT-AST elevations? And I guess maybe just a second question would be, can you give us the status of ENVISION and when you would hope to restart that trial?
Douglas Ingram: Sure. I'll turn this to Louise.
Louise Rodino-Klapac: Sure. For the Cohort 8. So we're certainly collecting all liver parameters, which include AST and ALT, and that goes into the calculation of ALI in addition to GDC and others. So certainly, that will be part of the calculation, but that goes into the definition of how we define acute liver injury. So certainly, FDA and us, importantly, will be looking at that. In terms of ENVISION, we expect in the U.S. to first look at some of the Cohort 8 data to help inform restarting that trial.
Operator: Our next question comes from the line of Kostas Biliouris with Oppenheimer.
Konstantinos Biliouris: Doug, congratulations on a terrific career and sorry to hear about your family members. You turn a nonevent press release into the most important conference call here. Maybe one question from us on DM1, given the relevance. We saw recently a publication from Avidity on DM1. And although they saw drug concentration in muscle in a dose response manner, when it comes to splicing correction, the data were very inconsistent and without any trends across placebo and active arms. Any thoughts on whether this could also happen to your case, if it's a result of variability? And how should we interpret a potential outcome like that if there is muscle concentration, but then the biomarkers are not consistent.
Douglas Ingram: Sure. Louise, take that.
Louise Rodino-Klapac: Without having read that publication, a few things to note. So based on our preclinical data, we see a correlation between muscle concentration and correction. I do believe that there's some limitations with dosing in their case in terms of how high dose they can get. So that might have played into it. I haven't seen the publication. But what I can say from our preclinical data, we do see a correlation with muscle concentration and correction.
Douglas Ingram: I may be missing the most recent data, but I was under the impression that at least at the doses that avidity was capable of dosing to without a dose-limiting toxicity, they didn't see enormous differences in muscle concentration. On the other hand, Dyne did, but then because Dyne's therapy is a PMO, that additional muscle concentration doesn't result in significant additional knockdown because of the requirement that you need the machinery inside of the cell to affect the steroid blocking that occurs with the exon skipping modality of a PMO. So maybe I'm missing something we need to look at it, but at least what we're seeing in our preclinical models is a very clear direct correlation between muscle concentration and the ability to knock down and then downstream splice correction, which, frankly, Occam's razor for an siRNA would tell you that's what you're going to see.
Operator: Our next question comes from Ritu Baral with TD Cowen.
Joshua Fleishman: Doug, this is Josh Fleishman on the line for Ritu. We send our best wishes to you and your family. How strong has physician and patient interest been in ENDEAVOR Cohort 8 recruitment? And can you give any color on the current extent of enrollment?
Douglas Ingram: Sure. Louise, do you want to that?
Louise Rodino-Klapac: Yes, certainly, there is a significant interest in Cohort 8. We are in process of screening and haven't dosed yet. We expect to do that soon, but we are on track, as I mentioned, to present data by the end of this year.
Operator: Our next question comes from the line of William Pickering with Bernstein.
William Pickering: Doug, wishing you and your family well. For DM1, could you clarify if the initial disclosure will include Cohorts 3 and 4? And how much follow-up do you think that you need to see a splicing benefit? In the Avidity New England Journal paper, the authors hypothesized that the 1 mg per kg dose didn't show a splicing benefit despite good DMPK knockdown because the biopsy was at day 45 as compared to biopsy at day 90 for the higher doses that did show a splicing benefit. So just wondering how you think about the length of follow-up you need to see the splicing improvement and if that informed the plan to wait until second half of the year to share that splicing data?
Douglas Ingram: Louise, do you want to touch on that?
Louise Rodino-Klapac: Yes. So for DM1 to your point, so we'll have the SAD cohort data. We'll have early data on MAD, which will be primarily safety data for that. For the -- in terms of the splicing panel, the CASI-22 for DM1, that will be second half of this year. The DUX4 target gene expression, we will have early data from that in this preliminary readout and then additional data from the MAD cohorts later on in the year.
Operator: Our next question comes from the line of Brian Skorney with Baird.
Unknown Analyst: This is Luke on for Brian. Thanks, Doug, for your openness on the call and best wishes for you and your family. We have a broader question on the DM1 indication. Just hoping for some insight on understanding of the importance of numerical splice correction data, just thinking about both clinical impact and the perspective of regulators. Is 20% plus still a reasonable sort of bar just in thinking about the current competitive landscape and how that's shaping up?
Douglas Ingram: Yes. I'm going to turn this again to Louise, who may have some views on it. The one thing to know on some of this is we need to really understand and fully analyze the FDA's perspective on this. We'll need to have meetings with the FDA, and I do want to be clear that, that is not something we've done. So -- but with that said, Louise, thoughts?
Louise Rodino-Klapac: Yes. Based on -- as I mentioned, so we're early on in this. And so we'll be analyzing this first cohort of data to look at the correlation of muscle concentration, splice correction, which we won't have for DM1 just now. And so we'll be analyzing all of that, working with our KOLs to inform our Phase III. So it's early for us to commit ourselves to a threshold in terms of what we think will be meaningful for the Phase III.
Operator: Our next question comes from the line of Gil Blum with Needham & Company.
Gil Blum: Hope things go well for you, Doug. It's always -- it's not great to hear that people in your family are having issues, especially with an indication like this. The one question that we have is just maybe a clarification as it relates to the LGMD program. Would you need to dose any patients with sirolimus prophylaxis before coming back to that? Or is the data from the DMD study sufficient there?
Douglas Ingram: So the short answer is we need to have more conversations with the agency about that. There have been suggestions in telephone calls with the agency that they might want to see a patient dosed with prophylactically with sirolimus. But on the other hand, we'll have had a significant amount of prophylactic dosing with our DMD therapy, and it is exactly the same capsid, so it should be quite relevant. So we'll have to have more discussions with the agency if there is some benefit to, for instance, dosing a patient. This is an ultra-rare disease. So we're not dosing a lot of patients prophylactically as a predicate to a BLA. This is ultra, ultrarare disease. But if we are required to dose a patient, we certainly would do that. But Louise , if you have more color than that, let me know.
Louise Rodino-Klapac: Yes. No, I would just add that they specifically wanted to see data from Cohort 8 first and subsequent to that. So we'll have that conversation once we have that data in hand.
Operator: Our next question comes from Sami Corwin with William Blair.
Samantha Corwin: And Doug, sending our best wishes to you and your family as well. Regarding the PMO guidance, I guess I was curious what your internal assumptions are for competition with some emerging exon skippers and how a lack of conversion to full approval could impact that guidance? And then regarding the ENDEAVOR trial, do you plan on sharing what enrollment in Cohort 8 has been completed?
Douglas Ingram: Yes. So I'll save the second part of that question, and Louise can answer that. On the first one, when we think about competition, I think the only credible near midterm potential competition on the exon skippers is Dyne's exon 51 therapy. First of all, the transition from accelerated to traditional or if there was a lack thereof has no impact in a very real sense because remember, if Dyne is capable of getting an approval any time in the near term, it's going to be on the basis of an accelerated approval. So it will be a completely flat playing field with respect to that. And I think that in the event that they are able to get an accelerated approval and with respect to the PMO side of things, you would think that they might be able to. I think we'll have -- that will be real competition, and I think there'll be an interesting play in the marketplace. They'll have some features that they'll certainly be promoting on their therapy. We have a decade of data on ours to support our therapy. And it's extraordinarily well tolerated. Families absolutely fiercely are committed to these PMOs. So I think it will be real competition, and we'll be selling the benefits of our therapy and Dye will be selling the benefits of their therapy. I think that's the real one sort of midterm potential competitor, and it's only for one of our three PMOs, which is, of course, EXONDYS.
Operator: [Operator Instructions] Our next question comes from David Hoang with Deutsche Bank.
Unknown Analyst: This is [ Sean ] on for David. Our best wishes to you and your family. Just a quick question on the recent announcement of DMD being added to the federal recommended uniform screening panel. Can you give us a sense of how rapid individual states might be rolling out the recommendation in their newborn screening programs and how that will impact the demand for ELEVIDYS going forward?
Douglas Ingram: Yes. A couple of thoughts on that. First, before I talk about the mechanics of it, understand that this is fantastic. We've been working towards this day and the patient community has been working for this day for a very long time. So it was a really significant moment to get DMD added to the newborn screening panel. And I also want to give an enormous amount of credit and kudos to the Secretary Kennedy himself, who really spearheaded this after consultation with specific folks from the patient community, understanding the significant value of having this out there, particularly so that at the earliest possible date, patients can benefit from existing therapies, including, for instance, our PMOs, EXONDYS, AMONDYS and VYONDYS, that was explicitly discussed with Secretary Kennedy. So I want to give a lot of kudos to HHS for their willingness to do that. On the timing of this, this is going to be a really significant opportunity, but it is not going to be a near-term opportunity. So don't envision that this is going to have some impact on our guidance this year for two reasons. One, it takes time. I probably can't tell you how much time per state my Head of Government Affairs, Diane, would do a much better job than I will have exactly that timing. But it takes some significant time to roll this out on a state-by-state basis. We already have a significant number of states that have newborn screening, but this will, of course, really expand it with it being on the federal RUSP. The second thing to know, remember, at least as it relates specifically to ELEVIDYS is that ELEVIDYS is for the treatment of boys four years and older. So to really see the benefit of this for the very young patient, we need to lower that age range. And we're working on that and intend to engage in the FDA and have some discussions about that. We think the data that supports going to a younger age is really compelling. We've got not only great expression. We've already proven that our therapy is efficacious. We proved it over and over again, which is really important, by the way. Let's be very clear, one of the things that is so heartening about our therapy is that we have so many clinical trials. And specifically, we have this very large placebo-controlled trial that showed data in one year and two year and three year, taking all that data and then look at the safety for the very young kids and looking at the expression you get with the very young kids. And we think there's a very compelling argument. But to really fully get the benefit of this, we're going to need to adapt that label and that itself will take some time and some discussions. So both of those issues are going to delay the opportunity, but the opportunity is coming. And it is a really big deal. And again, it's very easy to have to criticize. But in this situation, I just want to give enormous kudos to HHS. And I really want to give specific kudos to Secretary Kennedy for his willingness to lead in this area and to focus on trying to create a better life for young boys that have Duchenne muscular dystrophy. And it's important because as we say we say over and over and over again, to the point of almost being trite, time is muscle. And at any stage in this disease, if you can get in there and treat, you can save muscle that will otherwise be forever lost. And that's true of a 3-year-old versus a 4-year-old or a 2-year-old versus a 5-year-old, just as is true of a 9-year-old versus a 12-year-old or an 11-year-old versus a 14-year-old. So this is -- it's a big deal.
Operator: Our next question comes from the line of Andy Chen with Wolfe Research.
Brandon Frith: This is Brandon on for Andy. Sorry to hear the unfortunate news. One from us. On the Japan launch, are there any early signs such as start forms or other signals that should give us confidence in a positive launch within that region?
Douglas Ingram: Yes. We really aren't in a position to provide that information. I think Roche is a perfect group to provide information. I mean I am very excited about the launch, but that really comes more from the basic knowledge that Japan has a very sophisticated health care system. It's a very large population, has a lot of patients that can benefit from this. And I think our partner, Roche, and their subsidiary, Chugai, I think, will do a brilliant job of serving the community in Japan. So I'm excited about it, but I can't give any more detail than that broad stroke. And I think Roche can probably do a much better job of that than I can.
Operator: And this concludes our Q&A session, and I will pass it back to Mr. Ingram for closing comments.
Douglas Ingram: All right. Well, thank you all very much for spending time with us today. I'm just going to end with the way I started. 2025, as we all will acknowledge, was a difficult year filled with a lot of unexpected obstacles that needed to be overcome. I'm proud of this team for having worked through that and stayed resilient in overcoming them. I'm also proud of us taking the decisions we took in 2025 that put us in a strong position. Everything from the way we worked with the community itself to the fact that we restructured our convertible debt to remove any overhang and we did a restructuring, which painful though it was, really allowed us to focus on the highest value programs, highest value to the patient community and to Sarepta, and I think we're entering 2026 in a really strong place. We're strong financially. We have going on $1 billion in cash and investments. We'll be growing that cash balance over time even as we fully invest in our programs and our commercial launch. We have four therapies that are bringing a better life to patients every single day, really very resilient PMOs are that people love as well as ELEVIDYS, which the evidence on ELEVIDYS and its benefits grows quarter-to- quarter to-quarter, and we're going to make sure that everybody that can benefit from that knows it, and I'm quite confident that's going to have a big impact first on the lives of those patients and then with the benefit on those patients to our investors. And then finally, we have this extraordinarily exciting siRNA pipeline that includes now Huntington's disease, where we've actually started our clinical trial in Huntington's disease, and we'll be dosing patients starting next year -- I mean, sorry, next quarter, not next year, folks. And we're dosing DM1, we're dosing FSHD, we're dosing SCA2. We're dosing IPF. We'll have a readout on IPF later this year as well. So we've got this extraordinarily impactful pipeline as well. And we've got a team that knows how to execute and make the most of this pipeline, bring a better life to these patients as well. And over time, I think that we'll get the benefit of all of this extraordinary work as well. So thank you very much for your time. Look forward to updating you across the course of this year as well. And with that, have a lovely evening.
Operator: And this concludes our conference. Thank you for participating, and you may now disconnect.